Operator: Good day and thank you for standing by. Welcome to the Matson Third Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Lee Fishman. Lee, please go ahead.
Lee Fishman: Thank you, Cal [ph]. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer; and Joel Wine, Executive Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investors tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides and this conference call. These risk factors are described in our press release and presentation and are more fully detailed under the caption Risk Factors on Pages 13 to 24 of our Form 10-K filed on February 25, 2022, and in our subsequent filings with the SEC. Please also note that the date of this conference call is November 2, 2022, and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. I'll now turn the call over to Matt.
Matthew Cox: Okay. Thanks, Lee, and thanks to those on the call. Starting on Slide 3, Matson's differentiated over Ocean Services performed well in the third quarter, but we achieved lower year-over-year consolidated operating income as we saw lower demand for expedited Ocean Services in the Transpacific tradelane compared to the high levels of freight demand during the pandemic and the year ago period. Within Ocean Transportation, our CLX, CLX+, and CCX services achieved lower volumes, which contributed to the decline in both business segment and consolidated operating income. In our Domestic tradelanes we saw higher volume in Alaska and lower volumes in Hawaii and Guam compared to the third quarter of last year. In Logistics, the increase in operating income was due to strength across all of the lines of business as we continued to see favorable supply and demand fundamentals in our core markets. Today, we announced that we signed approximately $1 billion in vessel construction agreements for three new LNG-ready Aloha Class vessels. These new vessels will be purpose built for our CLX+, excuse me, our CLX service and will bring meaningful additional capacity to the service and profitability to the company when the vessels are placed in service. Joel will go through the announcement in more detail later in the presentation. Please turn to Slide 4. I want to start off by providing our views on the current market environment across the Transpacific tradelane, Domestic tradelanes and Logistics, after which I'll go through the tradelane performance in the third quarter. In the third quarter, we saw lower demand for our expedited Ocean Services in the Transpacific tradelane. With less demand and easing port congestion in Southern California we ended the CCX service in early September, about six weeks earlier than we expected. As you may recall, we initiated this temporary premium service in August of last year to meet the then extraordinary levels of volume demand resulting from challenging supply chain and port conditions in Southern California by providing a first U.S. West Coast port call in Oakland, followed by a call in Long Beach. With the end of the CCX service, we moved our Aloha Class vessels back to the Hawaii service. On our second quarter earnings call, we indicated that we'd seen a gradual decline in Transpacific freight indices from the high expected earlier this year and this likely signaled that rates had peaked. In the fourth quarter we've continued to see freight rates in a transitional decline from the pandemic highs. Looking forward, we currently expect the next two quarters to be challenging in this tradelane. On the demand side, we're seeing retailers adjust their inventories to current consumer demand levels, and on the supply side, we've seen ocean liners reduce at least 10% of the vessel capacity in the tradelane, and we expect more reductions and scheduled changes to meet the lower demand levels. Based on these factors, for the remainder of this year and into the first quarter of 2023, we expect to experience lower year-over-year freight volume and lower rate environment for our CLX and CLX+ services.
Shanghai Containerized Freight Index: Please turn to the next slide. Within our Domestic tradelaness, we continue to see economic growth in Hawaii, Alaska, and Guan. In Hawaii, domestic tourism was strong in the first nine months of the year, and International tourist arrivals picked up a bit in this past quarter, but total arrivals are still below pre-pandemic highs. UHERO is projecting Hawaii visitor arrivals for 2022 to be 90% of the pre-pandemic high in 2019, increasing to 95% in 2023. The strong recovery in Hawaii's tourism industry has led to a rapid decline in the unemployment rate and the labor market remains tight. In Alaska, we continue to expect the Alaska economy to benefit from increased energy related exploration and production activity as a result of elevated oil prices. Consumer demand continues to remain strong in the state, supported by a low unemployment rate, job growth, and wage growth. In September, the state announced a record permanent fund dividend to residents, which is expected to lead to good consumption in the near-term. And in Guam, the economy continues to recover from the pandemic low despite the slow return of tourism. The unemployment rate continues to improve and tourism has increased since the beginning of the year, but remains well below pre-pandemic levels. Excuse me. We expect further improvement in tourism arrivals from Asia to support the local economy, but the timing remains unclear. While there are positive drivers supporting further growth in our core domestic markets, weakening economic conditions in the U.S. and global economies could negatively affect tourism and consumer spending. In addition, the combination of higher inflation, higher interest rates and lower personal income with the end of the pandemic-era stimulus is likely having a negative impact on household income and consequently consumer goods demand. In Logistics, we continue to see a solid level of activity at Span Alaska consistent with our Alaska tradelane business. Our transportation brokerage business continued to perform above expectations, but is seeing softer freight volumes due to higher customer inventory levels, softness and truckload spot market rate, and other macroeconomic trends. Lastly, our supply chain business is trending consistent with the demand for our China service. I'll now go through the third quarter performance of our tradelanes, SSAT and Logistics, so please turn to the next slide. Hawaii container volume for the third quarter decreased 7.1% year-over-year, primarily due to lower retail related demand. The year-over-year decline was impacted by the difficult comparison to the pandemic demand spike in the year ago period. Volume in the third quarter of 2022 was 2.7% higher than the volume achieved in 2019. The Hawaii economy continued to show growth in the quarter, supported by strong domestic tourist arrivals and unemployment rate that remained near the pandemic lows. Moving to our China service on Slide 7, Matson's volume in the third quarter of 2022 was 15.1% lower year-over-year due to lower demand for our CLX, CLX+ and CCX services and one less sailing. Matson continued to realize a significant rate premium over the Shanghai Containerized Freight Index in the third quarter of 2022 and achieved average freight rates that were higher than in a year ago period. For the fourth quarter of 2022, we expect lower year-over-year volume. As I mentioned previously, we ended our temporary CCX service in early September, so there'll be no contribution from this service in the fourth quarter. Turning to Slide 8, in Guam, Matson's container volume in the third quarter of 2022 decreased 1.8% year-over-year. The decrease was primarily due to the lower retail related demand. Volume in the third quarter of 2022 was higher than the level achieved in the third quarter of 2019. Please turn to Slide 9. In Alaska, maximum container volume for the third quarter 2022 increased 10.6% year-over-year. The increase was primarily due to higher export seafood volume from the AAX service, higher northbound volume due to higher retail related demand, and volume related to a competitor's dry docking, and higher southbound volume, primarily due to higher domestic seafood volume. Turning next to Slide 10, our terminal venture, our terminal joint venture, SSAT contributed $23.4 million in the third quarter, 2022 to $13 million in the prior year period. The higher contribution was primarily a result of higher other terminal revenue. Turning now to Logistics on Slide 11, operating income in the third quarter came in at $20.1 million or $4.1 million higher than the result in the year ago period. The increase was primarily due to higher contributions from all services as we continued to see favorable supply and demand fundamentals in our core markets. And with that, I will turn the call over to Joel for a review of our financial performance.
Joel Wine: Thanks, Matt. Please turn to Slide 12 for review of our third quarter results. For the third quarter consolidating operating income declined $42.6 million year-over-year to $335.3 million with a lower contribution from Ocean Transportation of $46.7 million, partially offset by a $4.1 million increase from Logistics. The decrease in Ocean Transportation operating income in the third quarter was primarily due to lower volume in China, higher operating costs and expenses primarily in the CLX+ service and higher fuel related expenses partially offset by higher average freight rates in China and a higher contribution from SSAT. As Matt noted, the increase in Logistics operating income was primarily due to higher contributions from all services. We had interest income of $1.3 million in the quarter due to higher cash investment rates on our cash and cash equivalents as compared to no interest income in the prior year period. Interest expense increased $0.5 million from the second quarter result primarily due to the premium paid and deferred fee write off related to the prepayment of outstanding debt. Lastly, the effective tax rate in the quarter was 20.4% compared to 24.4% in the year ago period. Slide 13 shows how we allocated our trailing 12 months of cash flow generation. For the LTM period ended September 30th, we generated cash flow from operations of approximately $1.5 billion from which we used $115.4 million to retire debt, $179.1 million on maintenance and other CapEx, $26.8 million on new vessel CapEx including capitalized interest and owner items, $565 million to deposit into the capital construction fund, and $22.5 million on other cash outflows while returning $429 million to shareholders via dividends and share repurchase. Please turn to Slide 14 for a summary of our share repurchase program and balance sheet. During the third quarter, we repurchased approximately 1.1 million shares for a total cost of $88.4 million. On August 23rd, we announced that we added an additional 3 million shares to the existing share repurchase program. As of the end of the third quarter, there were approximately 3 million shares remaining in the repurchase program. Turning to our debt levels, our total debt at the end of the quarter was $538.1 million, and during the third quarter, we prepaid $50.4 million of outstanding principle on the 4.16% Prudential Series C-2 notes due 2027 and the 4.31% Prudential Series C-3 notes due 2032, which represented all the remaining principle outstanding for both notes. I'm now going to walk through our new vessel and LNG projects, so please turn to the next slide. Yesterday we signed agreements with Philly Shipyard for the construction of three new LNG-ready Aloha Class vessels. For a while now we have talked about the two options for refleeting the Alaska vessels later this decade, and we have chosen to move forward with the three new vessels for the CLX service and to shift three existing CLX vessels into the Alaska Service when the new vessels come into service. The new Aloha Class vessels will have dual-fuel engines and be LNG-ready, meaning each vessel will come fully equipped with the tanks, piping and cryogenic equipment to run on LNG upon delivery. The vessels will also be designed with other state-of-the-art green technology features and a fuel efficient hull. These new Aloha Class vessels allow us to upsize the CLX service by approximately 500 containers of capacity per vessel, and we expect this additional tradelane capacity to be a meaningful net income, operating income and EBITDA contributor when the vessels are placed into service. We currently expect the vessels to be delivered in the fourth quarter of 2026, the second quarter of 2027 and the fourth quarter of 2027. The total contract cost of the new vessel program is about $1 billion. We made our first milestone payment from the Capital Construction Fund of approximately $50 million upon signing the agreements yesterday. The table on the right hand side of this slide shows the current expected schedule of milestone payments by year. We are off to a great start in funding this new build program with over half of the project costs paid for with a $565 million deposit we made into the CCF fund in the third quarter. We expect this CCF deposit to lead to a significant refund of a portion of the approximately $242 million in cash taxes paid in 2021. Please now turn to Slide 16. The three new Aloha Class vessels and these LNG projects are important steps towards achieving Matson's 2030 greenhouse gas emissions goal. As a reminder, our 2030 environmental stewardship goal is to reduce Scope 1 greenhouse gas emissions from our owned fleet by 40% by 2030 using 2016 as a baseline year. The LNG installation projects on the Daniel K. Inouye and the Manukai remain on track for next year with Daniel K. Inouye planned to enter a drydocking in the first quarter of 2023 and Manukai planned to enter a drydocking in mid-year 2023. The current estimated cost to make Daniel K. Inouye LNG-ready is approximately $35 million. The current estimated cost to re-engine Manukai with a dual-fuel LNG and conventional fuel engine is approximately $60 million. We have also made the decision to move forward with the LNG installation project on the Kaimana Hila. We currently estimate the cost for this project to be approximately $35 million and for the vessel to enter dry-dock in the second quarter of 2024 for about five months of installation work. We continue to evaluate LNG installations on the Lurline and Matsonia, although no decision has been made at this time. If we move forward, the LNG installations would be in 2024 and 2025 for a current estimated cost of approximately $85 million for both vessels. And with that, I'll now turn the call back over to Matt.
Matthew Cox: Okay, thanks Joel. Please turn to Slide 17 and I'll go through some closing thoughts. Matson is well positioned to capitalize on future opportunities in Ocean Transportation and Logistics where we can leverage the Matson brand and our portfolio of essential high quality businesses. The Matson brand has never been better, and I'm confident we have the right assets and services to grow with our customers, support our customers in a high quality manner and maintain vessel schedule integrity. Within the Transpacific tradelane, we expect our CLX and CLX+ plus to continue to create value over the long-term based on their fast speeds and unique destination services. We continue to expect the post-pandemic environment to be an evolving journey and we will adapt like we've always done to support the lifeline communities we serve. Furthermore, although always be some degree of uncertainty in the macroeconomic environment, we will maintain our discipline and stick to our capital allocation strategy. We invest for the long-term to create value for shareholders. In some cases, we're making capital investment decision that spanned decades, like our new $1 billion ship build program for the three new Aloha Class vessels that we expect will be with us for 40 years. We're always on the lookout for opportunities to extend the Matson brand and drive organic growth. As an example, we initiated the CLX+ service during the pandemic off the success of our CLX service, which also helped drive additional opportunities for our logistics segment. We would look to acquire businesses as an extension of the great collection of assets we have today. We want to ensure that any business we acquire compliments one or more of our existing businesses, provides a unique or differentiated value proposition to customers, fits culturally with ours and is purchased at a double-digit cash on cash yield with good long-term cash flow characteristics. And last but not least, we'll continue to return capital to shareholders after funding our maintenance CapEx expenditures, long-term investments and dividends. From August 3rd of last year through the end of the third quarter of 2022, we've returned nearly $550 million in capital to shareholders in the form of dividends and share repurchases. Going forward, we expect to be a steady buyer of shares. We may or may not be headed into a recession, but we remain focused on things that we can control and doing what we've always done and that is to maintain vessel service reliability, provide world-class customer service, and allocate your capital to its highest and best use to create value over the long-term. And with that, I will turn the call back over to the operator and ask for your questions.
Operator: Thank you, Matt. [Operator Instructions] Our first question comes from the line of Jack Atkins of Stephens. Your line is now open.
Jack Atkins: Okay, great. Matt, Joel, Lee, good afternoon and thanks for taking my questions.
Matthew Cox: Hi, Jack.
Jack Atkins: So I guess Matt, if I could go back to a comment that you made in your prepared comments. It was around, you're seeing capacity come out of the Transpacific lane, I think you said about 10% of capacity has been announced in terms of reductions here to address the lower levels of rates. It's a tough question to ask, but I guess, would you guys ever consider making some adjustments to capacity? I know it's difficult with the way your sailing schedule works, but what sort of backdrop would you maybe need to see before you'd consider doing something like that or is that just not something you would consider under really any circumstances?
Matthew Cox: Yes, thanks Jack for the question. I think firstly, I think we've already removed in the CCX service call it, 25% of our capacity. Once we saw the expedited market, which of course is the space that we focus on, as market demand waned as, as many of our customers had canceled purchase orders or did not issue new ones. And we started to see the fall off in demand for the expedited market, which is very similar to the other markets, both the air freight markets and the more conventional ocean markets. And so, I think have taken a meaningful step towards reducing the capacity in line with the lower demand in the marketplace, just where we find ourselves in the cycle. We expect other carriers, as I said have done or will do in the coming months to reduce capacity to the market demand level. I think that process is just underway now. Many were surprised by the pace or the slow pace of the reduction in demand and will be adjusting their fleets, I think accordingly over time. But with regard to, back to your question about Matson, we continue to believe that the capacity that we have now deployed with the CCX now terminated, it will be about right for the market, that it will be about right for all of our domestic markets and the Transpacific capacity will be sufficient to be able to allow us to continue to operate both the CLX and the CLX+.
Jack Atkins: Okay. Now, that makes sense and thank you for that. And I would be curious maybe, to get your sense for maybe, where you think your customers are in terms of their process, destocking inventories? We began first kind of hearing about this in May. Sounds like it's going to be a weak peak season, how I guess is this something that's going to go on for another couple of quarters or is this something that could persist?
Matthew Cox: Yes, it's a great question, Jack and I think from what we're hearing from our customers, and let me make a general comment first. I think what we've heard really is the peak season with the benefit of hindsight arrived early in the first half of the year, such that when your customers saw the inventories on their balance sheet, they made rather dramatic cancellations of order, of existing POs and didn't issue new ones. And so, we saw a disruption in the marketplace. I think the view here Jack, is that while we're hearing anecdotally from customers that purchase orders I think ultimately are going to depend on what the level of end demand is and the pace at which our customers are making progress on reducing their inventory overhangs as they try to manage themselves through what, an increasingly risky or signaling signs of a recession. So we're hearing some people saying yes, there is some warehouse base. Some of our wholesalers are saying there's, they're looking forward to hearing an in discussion with their customers about order for spring merchandise, those kinds of things. And so we, that's why we said we think for the next couple quarters, there'll be cargo movement certainly but just at a lower level through there. I think ultimately what happens after that we're not really commenting on, and perhaps it will be partly decided by whether we enter a recession, what's the depth and duration of the recession and other geopolitical factors, lots of other things. But at this point, we're at this point, we're expecting to see cargo continuing to flow and the pace at which is yet to be determined, I guess it's the best way to answer that.
Jack Atkins: Yes, no I know, it's tough. It's tough to kind of, to know that. Maybe shifting gears to think about your Hawaii lane for a moment, across the, sort of the lower 48, I know there was a fair amount of pull forward of goods consumption. I would just kind of be curious to get your sense for the degree to which that also happened in Hawaii and with visitor arrivals, there's still a bit below 2019 levels. Do you think that we could be a tough couple, maybe a few quarters in sort of that Hawaii lane as we sort of digest that pull forward of demand that may or may not have happened there? Just would be curious to get your thoughts.
Matthew Cox: Yes, it also is a good question, Jack thanks. But from my point of view most of what we carry into Hawaii and Alaska and Guam for that matter are grocery store items, personal consumption and there are individual economic drivers that are slightly different in Alaska, Hawaii, and Guam. But and I know you know this, but we generally see less dramatic swings in those economies because of their dependence on ocean freight just to get the daily goods in and out of the market. So if there is a reduction, we would, as history has shown, expect to see those as much more modest reductions than we have seen in other end markets. We're continuing to see, relatively strong demand in those tradelanes off of, as we mentioned in our prepared, my prepared remarks a very strong 2021. But we're still seeing relatively healthy demand and in talking to businesses, they continue to be short of workers which continues to bode well for, the basic underlying strength of the economy.
Jack Atkins: Okay, got it. And then maybe one last question, I'll hand it over. But when we think about the slowdown that we're seeing as sort of the data in the Transpacific, whether it's rates or, what's coming into the ports, I know there can sometimes be a lag in terms of how that affects your business. Do you feel like that that really was showing up in terms of the effect of the declining rates through the third quarter, in your business in the third quarter or do you feel like that's something that could be more pronounced in the fourth quarter? Just maybe what you're going to see in the fourth quarter, in your business, what we were seeing in sort of the spot rate data in the third? Just what, just curious if there's some lag timing there we should all consider.
Matthew Cox: Yes, I think that's a good way to look at it, Jack. I think we saw the beginnings of it, and we called it in the second quarter earnings call we had peaked. We saw declines, as we went through the quarter, but it was sort of waited towards the peaking and then the beginning of the reduction. And it wasn't until September that we decided to terminate early the CCX. And so I think you'll get a full quarter in the fourth quarter of the clients that began and then in Matson-specific case less revenue and cost because we've terminated the CCX service. But I think those rates continued all the way through the fourth quarter. So we'll see, I think just because of the timing and the nature of where things turned a more full force impact in the fourth quarter compared to the third.
Jack Atkins: Okay. Thank you for the comments, Matt. I really appreciate it.
Matthew Cox: Okay Jack, thanks.
Operator: Thank you, Jack. [Operator Instructions] All right, up next is Benjamin Nolan from Stifel. Please proceed with your question.
Macalla Rogers: Hey, good afternoon. This is Macalla Rogers on for Ben. Thank you guys for taking our questions, I appreciate the time. As it relates to Transpacific rates softening and subsequently maybe, revenue from Transpacific trades softening, we were kind of wondering is there any capacity to adjust down costs as well?
Matthew Cox: Yes, so what we had done Macalla is in the, in September we removed one of our three Transpacific strings, the CCX service that called from China. And so we've made that adjustment in September. So that will not be included in our fourth quarter volume. The other two services, the CLX service and the CLX+ services, we believe that the expedited market will be large enough for us to continue both of those services into the future. So the cost reductions that are in place really are focused or, centered around the, our elimination of the CCX service.
Macalla Rogers: Thank you. That's helpful color. And if we could ask another one, as a spot market and Transpacific rates has declined and obviously, your rates have fluctuated with that, but obviously you guys have been able to maintain your premium. Have you seen any compression of the premium as it relates to rates softening or any insight into that would be helpful?
Matthew Cox: Yes, clearly the market was in transition or reset mode, and so what we saw were spot rates had come down during the quarter as is published under the Shanghai International, Shanghai International Freight Index or SCFI. Those are publicly public data. And so and of course, not all of Matson's business moves under that spot or short term rates, and neither does much of the other trade for our competitors on the contract side of the business. But our rates were reduced in sympathy with the SCFI. But we with regard to the spread, I won't specifically comment on it other than to say our rates were pulled down in sympathy with the reduction in the SCFI.
Macalla Rogers: Thank you very much. That's helpful. And maybe just one last one to round it out, if that's okay. As we're kind of seeing an environment maybe normalizing despite volumes still being relatively high, how are you guys thinking about the SSAT contribution on a more normalized basis moving forward?
Matthew Cox: Yes, it's a good question. First of all for Matson our joint venture with SSAT provides two important benefits. The first, of course, is that it allows us to, through our joint venture control the marine terminals on the West Coast in which we call, which gives us a lot of ability to influence the way in which and the priority in which the cargo is discharged, which provides us these destination services that we've mentioned in several times in our discussion today. That benefit is significant and allows, is in part one of the reasons why we're allowed and to charge a premium to the markets. So, but to the other element of the question, it also provides Matson, an important level of income, both because of our operation and the sea going [ph] of other international issued carriers. And so, that has contribution has gone up dramatically through the cycle, the pandemic and supply chain congestion. We expect that joint venture to moderate the earnings from the, from that joint venture to moderate, both because of lower volumes and lower congestion will lower the contribution from the joint venture, but still at levels that we think earn a very adequate return on our investment.
Macalla Rogers: Great, thank you so much. And as always, I appreciate the time.
Matthew Cox: Okay, Macalla, thank you.
Operator: Thank you, Macalla. [Operator Instructions] We will now have Jake [indiscernible] from Wolfe Research. Please proceed for your question.
Unidentified Analyst: Hey guys, thanks for your time.
Matthew Cox: Okay, hey, Jake.
Unidentified Analyst: So I just wanted to touch on expenses for a little more. It looks like ocean expenses increased on a sequential basis despite lower volumes. And you mentioned the CLX+ as a cost driver there, is that primarily charter costs or is there something else in there?
Matthew Cox: Yes, it's, that is one of the significant cost increases the charter costs. The other of course is fuel. Fuel has gone up rather significantly quarter-over-quarter because of the geopolitical events that we're all familiar with. Those are the two main cost drivers.
Unidentified Analyst: Got it. And so there's been a lot of volatility in both the pricing and the cost structure as it relates to CLX+. Can you give us a sense as to where the economics of this strength stand now and maybe how it compares to the CLX service?
Matthew Cox: Yes, I can do part of that. Jake, we don't publish or disclose segment information by tradelane, but what I can say is that the CLX+ service has higher charter expense as we renew the charters. We have, as you may know, we have charters for seven vessels in our current fleet. Three of those expire in 2023, three in 2025, and one in 2026. So those are disclosed in the K. And so those expenses are one element of the CLX+, of course, then Fuel and Port and [indiscernible] services, those are all there. As rates are in reset mode the profitability of the CLX+ service and the CLX service are being reduced. But we continue to be confident that this -- there is a long-term demand for both our CLX and CLX+ services that though we will continue to be able to charge a premium to the market prices and are very much committed and believe the expedited trade will be allow us to continue to fill both services. So we're -- we remain very optimistic about the CLX and CLX+ services as long-term value drivers for our shareholders.
Unidentified Analyst: Got it. That's helpful. And then I just wanted to touch on potential impacts of IMO 2023. Curious if you think this will have a big impact on supply and will it impact any of your vessels?
Matthew Cox: Yes. So like most ship owners we're actively planning for the IMO 2023 changes that are just around the corner. For Matson who operates a series of expedited vessels, it's important to us that we remain differentiated in terms of speed and cargo availability that have allowed us to position ourselves as the fastest and second fastest and that's both in terms of ocean speed, but also cargo availability once it hits the West Coast. So we're doing active planning around that. We think we've got a good plan and we think that it will allow us to continue to operate the fastest and second fastest services in the Transpacific and we feel good about our position there. With regard to your question about capacity, there are ranges of, for many ship owners, their decision may be to slow their vessels down in order to comply with the IMO regulations. And there's various ranges of estimates that how much vessel capacity that's in the trade today will be absorbed by slowing the vessels down. And we've seen as low as, no impact of vessel capacity to as much as 15%. We we're not exactly sure, but we feel good about our own planning and we continue to expect to have the fastest, continue to have the fastest and second fastest service in the Transpacific moving forward.
Unidentified Analyst: All right. Thanks for your time.
Matthew Cox: Okay, Jake. Thanks very much.
Operator: All right. Thank you, Jake. And thank you all for the questions. At this time, I will like to turn it back to Matt for closing remarks.
Matthew Cox: Okay. Well, thanks for your interest and participation today. We will look forward to catching everyone on our yearend earnings call. Aloha.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.